Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Westlake Chemical Corporation Third Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, November 7, 2017. And I would like to turn the call over to today's host, Mr. Jeff Holy, Westlake's Vice President and Treasurer. Sir, you may begin.
Jeff Holy - Westlake Chemical Corp.: Thank you. Good morning, everyone and welcome to the Westlake Chemical Corporation third quarter 2017 conference call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance in the third quarter of 2017, followed by current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments and we'll open the call up to questions. During the call, we refer to ourselves as Westlake Chemical. Any reference to Westlake Partners is to the master limited partnership, Westlake Chemical Partners LP, and references to OpCo refer to our subsidiary, Westlake Chemical OpCo LP, who owns certain olefins facilities. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors including the cyclical nature of the chemical industry, availability, cost, and volatility of raw materials, energy, and utilities, governmental regulatory actions and political unrest, global economic conditions, industry operating rates, the supply-demand balance for Westlake's products, competitive products and pricing pressures, access to capital markets, technological developments, and other risk factors discussed in our SEC filings. This morning, Westlake issued a press release with details of our third quarter results. This document is available in the press release section of our webpage at westlake.com. A replay of today's call will be available beginning two hours after completion of this call until 11:59 PM, Eastern Time on November 13, 2017. The replay may be accessed by dialing the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 97318894. Please note that information reported on this call speaks only as of today, November 7, 2017, and therefore you are advised that time sensitive information may no longer be accurate as of the time of this replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at westlake.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Yuan Chao - Westlake Chemical Corp.: Thank you, Jeff. Good morning, ladies and gentlemen, and thank you for joining us to discuss our third quarter results. In this morning's press release we reported record quarterly net income of $211 million or $1.61 per diluted share. Our third quarter results include record net sales of $2.1 billion and record EBITDA of $521 million. These results show the earnings potential of our business and the significant contribution that our 2016 acquisition of Axiall has delivered. The investments we have been making in our assets have enhanced their (04:47) operational reliability, and have positioned us to benefit from the improving economic environment. In July, we began to see increases in demand and prices across all of our major products that continued throughout the third quarter and into the fourth, reflecting the strengthening of global demand. In the third quarter, much of the Texas Gulf Coast was struck by Hurricane Harvey. While a number of our employees were impacted personally, we were fortunate that Westlake's operations were not impacted by the storm. We commend our employees for their efforts throughout this time, not only on behalf of Westlake but in how they came to the aid of their colleagues and neighbors during this time of need. Thanks to the ongoing dedication and efforts of our employees, we are making good progress in our Axiall integration and remain on track to capture the $120 million of cost reduction-related synergies and savings this year that we had previously communicated. Our pursuit (6:00) for additional value from our acquisition includes not only cost reductions, but working to improve operation rates and identifying low cost quick payback projects. I would now like to turn our call over to Steve to provide more detail on the financial and operating results.
Mark Steven Bender - Westlake Chemical Corp.: Thank you, Albert, and good morning, everyone. I will start with discussing our consolidated financial results, followed by a detailed review of our Olefins and Vinyls segment results. Let me begin with our consolidated results. This morning, Westlake reported record net income for the third quarter 2017 of $211 million or $1.61 per diluted share, on net sales of $2.1 billion, as compared to the third quarter 2016 net income of $66 million or $0.51 per diluted share, on sales of $1.3 billion. Our third quarter results were higher compared to the third quarter of 2016 due to earnings contributed from our acquisition of Axiall, lower transaction and integrated related costs, and higher sales prices and margins. These increases were partially offset by higher interest expense in 2017 due to the increased debt balance associated with the acquisition of Axiall, a $49 million gain on the common stock of Axiall held by Westlake in the third quarter of 2016, and a higher effective tax rate in the third quarter of 2017. Third quarter of 2017 was negatively impacted by transaction and integrated related cost of $7 million or $0.03 per share associated with our 2016 acquisition of Axiall. Third quarter 2017 net sales of $2.1 billion were driven by sales contributed by Axiall, higher sales prices for all of our major products, and higher operating rates in our Vinyls segment. Record operating income of $366 million for the third quarter of 2017 benefited from the earnings contributed by Axiall, higher sales prices which resulted in higher integrated product margins, and lower transaction and integrated-related costs compared to the third quarter of 2016. Sales in the third quarter of 2017 of $2.1 billion increased $130 million when compared to the second quarter of 2017. Third quarter of 2017 sales benefited from higher sales volumes for all of our major products, and higher sales prices for major Vinyls products when compared to the second quarter of 2017. Operating income of $366 million increased $99 million when compared to the second quarter 2017 operating income of $267 million. Third quarter 2017 operating income benefited from higher sales volumes for all of our major products and higher sales prices for our major Vinlys products. Lost sales margins and maintenance cost for the quarter were in line with our guidance of $25 million. For the nine months ended September 30, 2017, we reported operating income of $868 million on net sales of $6 billion, compared to operating income of $429 million on net sales of $3.3 billion for the first nine months of 2016. The increase in net sales for the first nine months of 2017 was due to sales contributed by Axiall and higher sales prices for our major products. The increase in operating income was mainly attributed to the earnings contributed by Axiall, and higher sales prices for our major products. Our utilization of FIFO method of accounting resulted in favorable pre-tax impacts of approximately $14 million, or $0.07 per share in the third quarter, compared to what earnings would have been if we'd reported on the LIFO method. This calculation is only an estimate and has not been audited. Now let's move on to review the performance of our two segments, starting with the Olefins segment. In the third quarter of 2017, the Olefins segment reported operating income of $165 million on net sales of $502 million, as compared to third quarter 2016 operating income of $118 million on sales of $497 million. Operating income increased $47 million over the same period due to higher sales prices of our major products and higher overall operating rates, partially offset by higher feedstock and energy cost. The third quarter 2016 was negatively impacted by the turnaround and 250-million pound expansion of our Lake Charles Petro 1 facility. Third quarter 2017 operating income of $165 million was $22 million higher than second quarter 2017 operating income of $143 million. Operating income for the third quarter 2017 increased due to higher polyethylene and styrene sales volumes and lower cost associated with planned turnarounds and unplanned outages. For the first nine months of 2017, Olefins operating income of $489 million increased $81 million from the first nine months of 2016's operating income of $408 million. This increase in operating income was mainly due to higher Olefins integrated product margins, which were driven by higher prices for our major products, higher operating rates, and lower cost associated with turnaround and outages when compared to the first nine months of 2016. These increases were partially offset by higher energy cost in the first nine months of 2017 when compared to the prior year period. Now, let's move on to the Vinyls segment. The Vinyls segment reported record operating income of $270 million in the third quarter of 2017, and record net sales of $1.6 billion. Net sales for the Vinyls segment increased $825 million from the third quarter 2016 net sales of $782 million. This increase is due to sales contributed by Axiall and increased sales prices for all of our major products. Operating income for the third quarter 2017 increased $195 million to $217 million, primarily due to earnings contributed by Axiall and higher sales prices, partially offset by higher energy cost. Third quarter 2017 operating income of $217 million increased by $74 million from the second quarter 2017's operating income of $143 million. The improved results were due to higher operating rates and increased margins for all of our major products driven by higher North American and European sales prices, lower feedstock and energy cost, and lower turnaround and maintenance related cost. The second quarter of 2017 was negatively impacted by unabsorbed fixed manufacturing cost and other cost associated with a number of planned turnarounds and unplanned outages at our facilities. For the first nine months of 2017, Vinyls operating income of $431 million increased to $294 million from the first nine months of 2016's operating income of $137 million. This increase in operating income was mainly due to the earnings contributed by Axiall and higher sales prices and volumes for all of our major products. These increases were partially offset by higher energy cost and unabsorbed fixed manufacturing cost and other cost associated with planned turnaround and expansion at the Calvert City facility, and other planned turnaround and unplanned outages during the first nine months of 2017. Now, let's turn our attention to our balance sheet and statement of cash flows. For the first nine months of 2017, cash generated from operating activities was $963 million and we invested $414 million in capital expenditures. At the end of the third quarter, we had cash and cash equivalents of $678 million, including $111 million generated through the attractive dropdown transaction with Westlake Partners, our MLP. At the end of the third quarter, total debt was approximately $3.3 billion. While we will continue our planned investments to improve reliability and competitiveness of our plants, we will prudently manage our balance sheet as seen in the last week's $250 million financially attractive power redemption of the 6.75 (15:12) coupon debt. This redemption was funded with cash on hand. Now, let me provide updated guidance for modeling purposes. Our current maintenance plan includes several planned outages that will impact our earnings by approximately $25 million in the fourth quarter. This number reflects the higher maintenance expense that we will – that will be incurred for these outages along with the associated loss sales margins as we continue to focus our maintenance efforts to improve reliability and performance. Moving on to capital spending. Our current estimate for 2017 capital expenditure ranges from $550 million to $600 million. We estimate that our 2017 effective annual tax rate this year will be approximately 32% and our cash tax rate will be approximately 25%. As Albert mentioned, we expect our – expect to capture approximately $120 million of cost reduction related synergies and savings this year, while expensing integration-related cost of around $25 million in 2017. In 2018, we expect to capture the full $200 million of cost reduction synergies and savings that we previously announced. As we continue to look ahead to 2018, we will provide guidance to aid your modeling efforts on our next earnings call once we complete our 2018 budgeting process. With that, I will turn the call back over to Albert to make some closing comments. Albert?
Albert Yuan Chao - Westlake Chemical Corp.: Thank you, Steve. This quarter's record results demonstrated the earnings potential of our business and the significant contribution by Axiall. The combination of solid demand, higher prices and integrated margins and improved operability delivered record EBITDA for the quarter. We continue to focus on capturing synergies related to our Axiall acquisition and our investing to improve the operational reliability and competitiveness of our assets. Looking forward, we expect to see greater ethylene availability as new ethylene plants start-up and capacity expansions are completed to take advantage of the low cost U.S. shale based oil and gas production. We also see favorable underlying demand trends continuing forward for all of our major products. Additionally, the European regulatory authorities have mandated that mercury-based chlorine production must shut down or convert to another technology by the end of this year, which will lead to capacity reductions in the region. We believe that Westlake is very well-positioned to benefit from these market developments. Thank you very much for listening to our earnings call this morning. Now, I will turn the call back over to Jeff.
Jeff Holy - Westlake Chemical Corp.: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again at the end of the call. Amanda, we will now take questions.
Operator: Thank you And our first question is from the line of Arun Viswanathan of RBC Capital Markets and your line is open.
Arun Viswanathan - RBC Capital Markets LLC: Great. Thanks. Good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Arun Viswanathan - RBC Capital Markets LLC: Just a question on Q4, you called out the $25-million maintenance. Maybe you can just help us understand how you're looking at both Olefins and Vinyls, Olefins you got some price increases in polyethylene. Do you expect those to be sustained through the quarter, and then Vinyls similarly with cost tick up, does that impact your results in Q4 or is there a lag there?
Mark Steven Bender - Westlake Chemical Corp.: Well, Arun, as you can see, we've seen in the Vinyls segment continued strength in the caustic market and I think you've seen that as both we and others have recognized that increase in strength and demand, and we've had price announcements out in the fourth quarter following those that we announced in the third quarter. As it relates to the strength that we saw in polyethylene, we did see strength in polyethylene pricing and demand has remained quite firm. We'll see how demand plays out as we get into the fourth quarter, but at this stage we've been very pleased with the strength and demand that we've seen in the pricing behavior accordingly.
Arun Viswanathan - RBC Capital Markets LLC: And usually there's a little bit of a seasonal drop off in volumes in Vinyls, there is some destocking in Olefins, would you expect those two factors, I guess, to repeat themselves this year or not because of the disruptions in Q3? And if not, does that kind of indicate that your earnings power in Q4 could be similar to Q3?
Albert Yuan Chao - Westlake Chemical Corp.: You are right. Generally, Vinyls has more of seasonal effect in the fourth quarter than Olefins. So there, we'll have some impact on volume, but at the same time their prices have moved and even though we announced price increases, the price increase is going to impact (20:49) after the terms and conditions are met. So whether there is a price protection or it's quarterly pricing, the price will move into the fourth quarter. So the combination of our price increases and potential volume reductions in certain products in the Vinyls sector.
Arun Viswanathan - RBC Capital Markets LLC: And I'm sorry, just to clarify so the $25 million, is that all of the extent of your maintenance expectations for the quarter?
Mark Steven Bender - Westlake Chemical Corp.: Arun, it is. It's in line with the guidance we've given, and that is our expectation for maintenance expense as well as the loss sales margin.
Arun Viswanathan - RBC Capital Markets LLC: Got it. Okay. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Don Carson of Susquehanna Financial. Your line is open.
Donald David Carson - Susquehanna Financial Group LLLP: Yes, couple of questions. Steve, in the past you've said that you expect your kind of catch up maintenance to decline by about $170 million as you go into 2018 from the acquired assets. Is that still the view, or have you found more catch up needed than was originally the case?
Mark Steven Bender - Westlake Chemical Corp.: Don, as you can see, we're completing the work in the third quarter and the guidance we see in the fourth quarter, if we can complete that, will certainly catch us up on most of that work. As we get in – further into 2018, if there are opportunities to do additional work or if there's a need to do additional work, we'll then flag that as we go forward.
Donald David Carson - Susquehanna Financial Group LLLP: Okay. And then on caustic, we've seen quite a jump in export versus domestic. Have you been redirecting more of your sales to the export markets for spot caustic, and what is your percentage of export sales in caustic?
Albert Yuan Chao - Westlake Chemical Corp.: Well. The industry exports around 20% of U.S. production caustic, and Westlake being the number three producer in the U.S. We do participate actively in the export market.
Donald David Carson - Susquehanna Financial Group LLLP: Okay. And then final question. Can you give us an update on the Lotte cracker in terms of progress they've been making, what you anticipate the completion date to be, and what plans you might have for going above and beyond your initial stake in that project?
Albert Yuan Chao - Westlake Chemical Corp.: Certainly. As you know, we have a 10% stake right now, we are funding that project as we go. And we have option to exercise to increase our percentage up to 50% of the project within three years after start-up. And the project is progressing well, and we expect to start up sometime in 2019.
Donald David Carson - Susquehanna Financial Group LLLP: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question comes from the line of Hassan Ahmed of Alembic Global. Your line is open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Albert and Steve.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, Hassan.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Hassan I. Ahmed - Alembic Global Advisors LLC: So. A quick question on, obviously in Q3 2017, you guys marked the first year anniversary of – closing of the Axiall deal. So – and you've talked about synergies, capturing them in 2017, remainder in 2018. Just wanted to get a sense of sort of the legacy Axiall operating rates. So I guess the question is, as you consummated the deal, where were the legacy Axiall operating rates, where were they in Q3 2017, and where do you see them going?
Mark Steven Bender - Westlake Chemical Corp.: Well, Hassan, I think what you've seen is a consistent investment that we've made throughout this year. And so, while I think you can attribute the strength in our business to those investments, I think the contribution that we have been making to earnings really is, I think, a testament to several things, and improvement in those operating rates sequentially over 2016 and prior. And certainly, the strength in the demand side, where we've seen also an ability to elevate prices as demand has remained quite strong. So I think, when we think about the operating rate improvement, operating rate improvements have been made as we have improved the reliability and the performance of these assets. And as you know, we don't typically get into quoting specific operating rates per se, but I think you can see the strength of the performance here is reflective of the improvement in the reliabilities investments that we've been making all throughout the year.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood, understood. So now, slightly different topic. Obviously, we've seen propane prices being extremely strong. So, it's a two-part question. One is, what was your feedstock mix in Q3 2017 within Olefins? And secondly, what are your views about propane prices going forward? I mean, will we continue seeing sort of these relatively high levels of pricing, or do you start seeing some sort of supply-demand relief over there?
Albert Yuan Chao - Westlake Chemical Corp.: Sorry. Hassan, are you talking about propylene or propane?
Hassan I. Ahmed - Alembic Global Advisors LLC: Propane, propane.
Albert Yuan Chao - Westlake Chemical Corp.: Okay. Propane, sorry. Yeah, propane prices has been elevated much of this year because of the large export volumes going overseas, and as crude oil prices moved up in the last few months, propane prices even moved higher. So today, propane is not – is the least favorite feedstock for ethylene cracking. So our industry is reducing its consumption of propane where they can do it.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood. And, what about your feedstock mix? I mean, what percentage within the Olefins segment – I mean, what was that sort of ethane mix in the quarter?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah we are, I think all our ethylene – our three ethylene plants are running on ethane and I think if maybe – if there are small amount of other LNG – LPGs will be very small portion, but predominantly, it's all ethane.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very helpful. Thanks so much, Albert.
Albert Yuan Chao - Westlake Chemical Corp.: You are very welcome.
Operator: Thank you. Your next question is from the line of P.J. Juvekar of Citi. And your line is open.
P.J. Juvekar - Citigroup Global Markets, Inc.: Yes. Hi, good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, P.J.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
P.J. Juvekar - Citigroup Global Markets, Inc.: Albert, none of your plants are down due to Harvey, while competitors were down. So is it fair to say that you had some benefit from Harvey in the quarter? And I know it will be difficult to quantify that, but at least can you qualitatively talk about what kind of benefit you got? And then secondly, when do you expect sort of the U.S. production normalizing post Harvey?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. I think they said up to 70%, 80% of the ethylene plants in Texas were impacted by Harvey and that probably more than 50% of the U.S. ethylene plants were at one time impacted by that, and luckily we were not impacted by – by this – the terrible (27:36) disaster. So – but, I think all the ethylene plants are safe maybe one or two are all (27:40) back running and we also heard some two-month delays on (27:46) the new plant starting up, so it has a delayed impact on the industry. But as we speak, I think most of the ethylene plants are back and we have – we are having a good supply that we – as you know, we are major buyer of ethylene in the U.S. and we have a good supply of ethylene available to us.
P.J. Juvekar - Citigroup Global Markets, Inc.: Would you say that there were some kind of benefit from Harvey for you in the quarter?
Albert Yuan Chao - Westlake Chemical Corp.: It's difficult to quantify. I think the prices, all our major products are affected by Harvey's impact – positive impact in price, but also global demand has increased a fair amount over the last quarter, two quarters, so that also helped to strengthen the prices globally of our major products.
P.J. Juvekar - Citigroup Global Markets, Inc.: Okay. And my second question is on the caustic soda, which is really tight given all the shutdowns in China. Albert, I think you mentioned in your comments about low cost, high return projects that you would look at. Do you have any plans to debottleneck any of your plants in the near future? Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. Our engineers are constantly looking at ways to improve our production as Steve mentioned, we have invested and we'll continue to invest in improving the operability of our assets and reducing the cost of our production, and also looking at ways to have a low hanging fruits expansions where we can of our plants.
P.J. Juvekar - Citigroup Global Markets, Inc.: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. The next question is from the line of Bob Koort of Goldman Sachs. And your line is open.
Dylan Campbell - Goldman Sachs & Co. LLC: Hi, this is Dylan Campbell on for Bob. Previously... (29:46)
Dylan Campbell - Goldman Sachs & Co. LLC: Good morning. Previously I have spoke about rolling over caustic soda contracts to higher prices. I'm just curious if the hurricane or some other factor could have allowed you to roll over these contracts a little bit earlier than anticipated? Or is this kind of the third and fourth quarter price increases kind of in line with what you guys have anticipated?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. I think prices moves as demand allows it. So as we heard that we announced prices increase in September and also for the fourth quarter, and as terms and contract allows that we can make those price increases. And as far as renewing contract (30:27) on a year-end basis, certainly those processes are ongoing. And if demand is good for our products continues then the terms will become more favorable.
Dylan Campbell - Goldman Sachs & Co. LLC: Okay. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. The next question is from the line of Aleksey Yefremov of Nomura Instinet. Your line is open.
Aleksey Yefremov - Nomura Instinet: Good morning. Thank you.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, Aleks.
Aleksey Yefremov - Nomura Instinet: European caustic soda price index increased meaningfully in the fourth quarter. When do you typically realize the benefit of such European index increases? And maybe you can share in this particular case, do you already benefit in Q4 or is this more of a first quarter event?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah, I think European caustic price typically is on a quarterly basis and it's become in fact (31:23) into the quarter, so at some portion it'll depend again on contracts, some portion can be effected (31:29) beginning of the quarter, some in the middle of the quarter, but there is a – prices are usually done on quarterly basis. So we should see some benefit in the fourth quarter.
Aleksey Yefremov - Nomura Instinet: Great, thank you. And then staying with Europe, some press reports suggested that your (31:50) business is looking at expansion in Europe for chlor-alkali and some downstream Vinyls capacity. Could you talk about this in terms of size, CapEx requirements and potential earnings contribution?
Mark Steven Bender - Westlake Chemical Corp.: Aleks, it's Steve. You're right, we did put out a note and I guess what I would do is I'd characterize those as relatively small in terms of our efforts to debottleneck some of those assets, they are small contributor of those efforts.
Aleksey Yefremov - Nomura Instinet: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And the next question is from the line of Frank Mitsch of Wells Fargo Securities. Your line is open.
Frank J. Mitsch - Wells Fargo Securities LLC: Good morning, gentlemen, and congrats on the record quarter.
Mark Steven Bender - Westlake Chemical Corp.: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: Thank you, Frank. Good morning.
Frank J. Mitsch - Wells Fargo Securities LLC: Is it fair to say that September was the most profitable month for you during Q3, and how would you characterize the preliminary October results relative to your third quarter average?
Mark Steven Bender - Westlake Chemical Corp.: Frank, I think as you could see, we're seeing the strength really in – I'll speak first to the Vinyls and come back to Olefins. But I think you saw strength consistently across the Vinyls space whether it was in PVC or in caustic. And as Albert earlier noted in one of the questions, that we are being able to see prices move up as well not only here but in Europe as well. Related to polyethylene, inventories were certainly tight. I think many of our customers expected new capacity in the fourth quarter and so therefore had lower levels of inventories. And with these price increases that came through because so much production was offline, we certainly had an opportunity to see some improvement to the bottom line accordingly.
Frank J. Mitsch - Wells Fargo Securities LLC: Okay. And Steve, just with the higher levels of profitability that you saw, your net debt at the end of the quarter came down to I think 1.6 times, so, a pretty material drop. Just curious as to if you have any target net debt leverage and what might be the preferred uses of cash as you've paid down some debt and gotten your leverage that much lower?
Mark Steven Bender - Westlake Chemical Corp.: Yeah, Frank, as we think about the use of cash, we certainly and you see that we've been doing this throughout this year, is focus on making investments that provide reliable, consistent performance in the plants. And so, we'll continue to make investments that way. We always look for opportunities to improve our cost position, so if there are opportunities to do that, we'll certainly take investments down that path. We certainly want to have a balance sheet that's strong and the financial metrics that we've told the rating agencies and the investors that we would be – continue to be focused, making sure that we have a strong investment grade balance sheet and that will be a continuance of our focus with the balance sheet. And of course we also look for making investments in opportunities that provide quick return opportunities, if there are debottleneck opportunities we'll do that. And of course we know that investors want and seek returns and so, not only do we have a program where the dividends are paid by the company, but also, we have a share buyback program that's been authorized as well. So, as I think about the use of capital, it's maintenance and reliability, maintaining the strong balance sheet, making sure that we're pursuing quick returning opportunities and often (35:23) expansion opportunities, if there are some, and then making sure there is a use of that capital, to return that to investors.
Frank J. Mitsch - Wells Fargo Securities LLC: Great. Thank you so much.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from the line of Josh Spector of UBS. And your line is open.
Joshua Spector - UBS Securities LLC: Hey guys. Thanks for taking my question.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Joshua Spector - UBS Securities LLC: Good morning. One of your competitors recently filed for an additional expansion of chlor-alkali capacity and some vinyls capacity. Given the improving profitability, do you guys expect to see any more announcements in the Gulf Coast area, or do you think pricing needs to improve further from here?
Mark Steven Bender - Westlake Chemical Corp.: Well. I think in terms of the integrated chain, in terms of how we think about making investments and so, while we are certainly aware of filings that occur from time to time with regulatory agencies about those opportunities, we think about investment opportunities across the integrated chain over the cycle. So as Albert noted earlier, we always assess the opportunities to expand our businesses, but we do that with an eye toward integration, and integration over (36:32) over the cycle, and not at any one point in time. At this stage, we're continuing to assess that.
Joshua Spector - UBS Securities LLC: Okay, great. And just one follow-up on the maintenance outages. So for this year, I think in total, you're around $180 million in terms of maintenance impact and lost earnings impact. Think you said before, you expect 2018 to come to a more normal level; are you able to give a rough range of what you would say a more normal level would be for the pro forma company?
Mark Steven Bender - Westlake Chemical Corp.: As we finish our 2018 budgeting process, we'll give some better guidance as we get into next year.
Joshua Spector - UBS Securities LLC: Okay. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome. Operator : Thank you. And our next question is from the line of Kevin McCarthy of Vertical Research. Your line is open.
Matthew DeYoe - Vertical Research Partners LLC: Good morning. This is Matt on for Kevin.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning, Matt.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Matthew DeYoe - Vertical Research Partners LLC: Good morning. So, if we were to look at sequential performance in Vinyls, adjusted EBIT was up about $72 million on $117 million in sales. I think the increase in caustic soda and chlorine maybe account for $20 million to $25 million of this, and maybe lower maintenance was something like $25 million – another additional $25 million, can you kind of just quantify and bucket the remaining factors?
Mark Steven Bender - Westlake Chemical Corp.: Well. I think, and you've heard me speak this morning about the improvement in reliability, and so with that comes improving operating rates. So when you think about improvement in operating rates, we're also then spreading that fixed cost over more pounds of production, so it brings the cost per unit down. And you highlighted the other areas where I think we've seen the contribution to the bottom line in Vinyls.
Matthew DeYoe - Vertical Research Partners LLC: Okay. That would imply like $25 million. I guess there's synergies in there as well, but?
Mark Steven Bender - Westlake Chemical Corp.: There are some synergies that do apply, of course.
Matthew DeYoe - Vertical Research Partners LLC: Okay. And correct me, I know this has kind of been asked a few different ways, but correct me if I'm wrong, but I think Axiall shuttered something around 78,000 metric tons of caustic capacity prior to the acquisition – your acquisition of the company. Is there any way to bring that back online, or is that down for good?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. We're not familiar with capacity being shut down. I think some of the (38:49) plant operating rates may not be as high as the declared operating capacity, so they may have reduced the nominal capacities, but not really shutting down plants.
Matthew DeYoe - Vertical Research Partners LLC: Okay. All right. Perfect. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question is from the line of Matthew Blair of Tudor, Pickering, Holt. Your line is open.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Hey, good morning, Albert and Steve.
Albert Yuan Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: I was hoping you could provide an update on building products. I think this segment has historically run well below overall capacity utilization, but we're seeing some pretty good housing numbers this year. Any update here on just how much this area contributed to your Vinyls results in the quarter?
Mark Steven Bender - Westlake Chemical Corp.: Well, it has been a consistent performer and I think, as you think about our building products business, you're right, we have seen strength in the building construction businesses and then we get the appropriate pull-through in our exterior businesses, as well as our pipes and fittings businesses. And it is an important contributor in the overall Vinyls business, though relative to the contribution from caustic and PVC a smaller contributor, but nevertheless an important contributor.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. Thank you. And then I was hoping you could quantify how much of an impact did the Vinyls (40:17) force majeure in the quarter have?
Mark Steven Bender - Westlake Chemical Corp.: Well, it's a very, very small impact.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question is from the line of Jim Sheehan of SunTrust. Your line is open.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Good morning. Albert, I was wondering if you could share your thoughts with us this morning on ethane prices and where do you see them going in 2018.
Albert Yuan Chao - Westlake Chemical Corp.: Yes, ethane prices are probably in the high 20s and I think the future price as well as IHS are looking at in 2018 probably in the low 30 (40:55) range when new plants come up, those (40:58) demand I think will increase. But a fair amount of ethane is being rejected now. So, we believe there will be ample supply of ethane for the new crackers.
James Sheehan - SunTrust Robinson Humphrey, Inc.: And can you talk about the integration benefits you have in your Vinyls segment? How do you see that integration benefit playing out in 2018 with the ethylene prices maybe more favorable and operating rates in the industry moving higher for PVC and other products?
Albert Yuan Chao - Westlake Chemical Corp.: Yeah. I think the U.S. vinyls producers are one of the most competitive producers from a cost-wise in the world. We have among the cheapest ethylene price in the world compared to Asian and European ethylene prices. And the fact that we have low energy cost from abundance of natural gas based power plants, the cost to produce chlor-alkali also is very competitive compared with European and Asian chlor-alkali plants. So if you are integrated fully, then you get a benefit. And PVC is one of the largest consumer of chlorine. So the demand – global demand for (42:14) PVC continue to grow. There are not a lot of capacity added around the world. And the caustic which is the other side are producing chlorine, our demand is high globally especially with some of the plants being shut down in Europe. So we are very optimistic on the chlor-alkali and the Vinyl business of 2018.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And last question on polyethylene. How much will the prices going to come down after the post-hurricane? Do you expect the polyethylene prices to decline in December or remain firm until January or into the first quarter of 2018?
Albert Yuan Chao - Westlake Chemical Corp.: Yes. As you know we have – the industry have announced price increases and it's a $0.05 per pound price increase out there. And various consultants are saying there could be price reductions end of the year, the first part of next year, because of the new capacities that are being added are coming up. But it depends a lot on the global economy and demand for polyethylene as well as oil prices, as you know that oil prices are now in the (43:26) a barrel, which is a big jump from even three months ago. And if oil price continue to stay high, it will make the U.S. ethane-based integrated ethylene polyethylene producer be quite competitive in cost wise to compete.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Albert Yuan Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And at this time the Q&A session has now ended. Are there any closing remarks?
Jeff Holy - Westlake Chemical Corp.: Thank you again for participating in today's call. We hope, you'll join us again for our next conference call to discuss our fourth quarter and full year 2017 results.
Operator: Thank you for participating in today's Westlake Chemical Corporation third quarter earnings conference call. As a reminder, this call will be available for replay beginning two hours after the call has ended and you may be access until 11:59 PM, Eastern Time on Thursday, November 13, 2017. The replay can be accessed by calling the following numbers. Domestic callers should dial 855-859-2056 and international callers may access the replay at 404-537-3406. The access code for both numbers is 97318894.